Operator: Welcome to the Korn Ferry First Quarter Fiscal Year 2020 Conference Call. At this time, all participants are in a listen-only mode. Following the prepared remarks, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded for replay purposes. We have also made available in the Investor Relations section of our website at kornferry.com a copy of the financial presentation that we will be reviewing with you today. Before I turn the call over to your host, Mr. Gary Burnison, let me first read a cautionary statement to investors. Certain statements made in the call today, such as those relating to future performance, plans and goals constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties, which are beyond the company's control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and in the periodic reports filed by the company with the SEC, including the company's annual report for fiscal year 2019. Also some of the comments today may reference non-GAAP financial measures such as constant currency amounts EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most direct comparable GAAP financial measure is contained in the financial presentation and earnings release related to this call, both of which are posted in the Investor Relations section of the company's website at www.kornferry.com. With that, I'll turn the call over to Mr. Burnison. Please go ahead, Mr. Burnison.
Gary Burnison: Okay. Thanks, Greg, and good afternoon, everybody, and thanks for joining us. We had a very good quarter. We came in with growth at about 7% constant currency, which is 4% actual. Fee revenue was $485 million. And that growth was clearly driven by our RPO and Professional Search offering which grew at 27% constant currency, and that's the 21st consecutive quarter of double-digit growth for our RPO and Professional Search business. We saw revenue growth in all geographies, again constant currency. Asia and South America were up 11%, EMEA was up 7%, and North America was up 5%. Earnings remained very strong. EBITDA was about $75 million, and we continued to allocate capital to share repurchases. We bought back almost 1 million shares to date using about $40 million. Our financial results for the quarter, I think they really demonstrate the durability of our business model, and whether that's driving our clients' organizational efficiency or delivering on an M&A integration, our firm Korn Ferry not only helps organizations, but as importantly, teams, leaders, and individuals exceed their potential, and that's what this company is all about enabling people and organizations to indeed exceed their potential. In a couple of months here in November 14th, it's going to mark our 50th year in business, and out of this five-decade journey, I'm probably -- certainly haven't been here for all 50 years, but I've been here for a good 17 or 18, and I think out of that five-decade journey, I'm probably more confident today about where we are positioned and our strategy than ever before. I see rich opportunities in our vast IP, which will provide a platform for digital insights, a part of our business that provides more regular, durable revenue streams. We have an advisory business today that is twice the size of what the entire firm was a decade ago. I think we've got headroom in the marquee and regional clients. The marquees represent about 21% of our portfolio. And in the first quarter, we expanded this to about 200 regional accounts. I also look at opportunities like KF Advance, which is a business that we've basically just started, but it entails offering career advice to professionals, and in a very, very short time, we've gone to kind of asking could we do this to a full-fledged offering with 82,000 professionals who are benefiting from to-date about 11,000 coaching sessions. And I think we're building the world's career gymnasium for people to exercise their career fitness. And so that single Rolodex that Lester Korn and Richard Ferry started this great firm with many years ago, has been transformed into arguably the world's most comprehensive people and organizational databases. I mean, we've got organizational benchmark data on 12,000 entities, 4 billion data points on professionals, 69 million assessments taken and rewards data on over 20 million people, and almost 25,000 companies clearly that's Mr. Inside Baseball. And so that boutique firm of the past with long line of business today puts somebody in a job every three working minutes. Every month, we develop over 100,000 individuals and we've dramatically now shifted to a global firm with solutions that synchronize an organization’s strategy and talent to drive superior performance for our clients. That's what it's all about. So more than organizational strategy or compensation advisory, more than talent acquisition, more than leadership development, Korn Ferry enables people and organizations to be more than, simply put, to exceed their potential. Today's Korn Ferry is instrumental to the growth of organizations, helping them optimize their workforce and driving meaningful business outcomes. So our go-forward strategy is going to comprise really five pillars. One, an enterprise go-to-market approach with clients of scale, creating a portfolio of house accounts. We'd like to see them be 30%, 35%, 40% of our portfolio. Two, developing a more subscription-based revenue stream from our digital insights business, which was formerly called our products business. Three, continuing to create a career destination for our colleagues. Four, a disciplined approach to capital, including M&A, share repurchases, and dividends. And finally, innovating and monetizing our IP. An example would be the Korn Ferry Advance offering that we've gotten now. So I'm joined here with our CFO, Bob Rozek and Gregg Kvochak. So Bob, I'll turn it over to you.
Bob Rozek: Great, thanks, Gary, and good afternoon, everybody. I would echo Gary's comments on the strong results we had in this quarter. The financial results do remain strong and we continue to demonstrate the durability of our business model as well as the relevance that our solutions have in driving meaningful business outcomes for our clients. Fee revenue in our just-completed first quarter grew to almost $485 million, which is up 4% year-over-year in actual dollars, and as Gary indicated nearly 7% measured at constant currency. Each of our business segments grew in the first quarter. Exec Search up 2%, Advisory up 3%, and RPO and Pro Search up over 27%; again, all measured at constant currency. Our earnings remained strong with EBITDA at approximately $75 million, which compared to adjusted EBITDA in the first quarter of fiscal '19, was up $4 million or about 5.8%. Our profitability also improved with EBITDA margin reaching 15.5% compared to an adjusted EBITDA margin last year in the first quarter of 15.2%. Now, turning to new business trends. Globally new business in search was essentially flat year-over-year, while advisory new business was up 4% at constant currency. For advisory, new business in the first quarter was up 19% year-over-year in North America, but was partially offset by weakness in certain geographies internationally. Demand for RPO and Pro Search services remained strong in the first quarter with total new business awards of $97 million, consisting of $31 million of new Pro Search assignments and $66 million of longer-term recruitment outsourcing contracts. Now of the $66 million, approximately $32 million are new logos or new clients with approximately $34 million of the extensions and renewals making up the difference. Also of particular note, in the first quarter, we had strong RPO wins in the UK, which is a strong indicator of the secular demand for recruitment outsourcing even in markets challenged by economic and geopolitical turmoil. At the end of the first quarter, total cash and marketable securities were $567 million, and that's up about $67 million compared to the first quarter of last year. Excluding amounts reserved for deferred comp and for accrued bonuses, our investable cash balance at the end of the first quarter was approximately $363 million, and that's also up about $67 million year-over-year. We had outstanding debt at the end of the first quarter of about $223 million. As Gary indicated, we did stay on path with our balanced approach to capital allocation. The Board declared a dividend of $0.10. And as Gary mentioned, we repurchased about 1 million shares, spending just shy of $40 million. And currently we have about $213 million remaining on our authorization for share repurchases. And finally, fully-diluted earnings per share in the first quarter was $0.76. That's down $0.02 or 2% compared to the same number last year in the first quarter. And the decrease is primarily driven by a higher effective tax rate in this year's first quarter versus last year. This year, our rate was 24.9%. And last year, the rate was 19.6% in the first fiscal quarter. I'll now turn the call over to Gregg to review operating segments in more detail.
Gregg Kvochak: Okay. Thanks, Bob. Global Executive Search fee revenue in the first quarter of fiscal '20 was $193.2 million, which compared year-over-year was flat, but measured at constant currency was up 2%. By region at constant currency, North America was flat, Europe was up 4%, Asia-Pacific was up 8%, and Latin America was up 3%. By Executive Search specialty practice at actual rates, growth in the first quarter was led by our financial services practice at 6% and our industrial practice at 4%. Our life sciences, healthcare, consumer goods and technology practices were flat to down modestly. The total number of dedicated executive search consultants worldwide at the end of the first quarter was 569, up 24 year-over-year and up four sequentially. Annualized fee revenue production per consultant in the first quarter was $1.36 million and the number of new search assignments opened worldwide in the first quarter was 1,695, which was essentially flat year-over-year. EBITDA for Executive Search in the first quarter was $48.9 million, up $2.1 million or over 4.6% year-over-year. The consolidated EBITDA margin for Executive Search in the first quarter of fiscal '20 was 25.3% compared to 24.2% in the first quarter of fiscal '19. Now turning to Advisory. In the first quarter, global Advisory fee revenue was $195.5 million, which grew 3% year-over-year measured at constant currency. Growth was spread across all regions with North America up approximately 1%, Europe up approximately 2%, and Asia Pacific up approximately 9%, all measured at constant currency. As previously mentioned, global new business awards in the first quarter for Advisory were up approximately 4% year-over-year measured at constant currency, with double-digit growth in North America being offset by weaker new business in international markets. In the first quarter, EBITDA for Advisory was $34.6 million with 17.7% margin, both flat year-over-year. Finally, growth for RPO and Professional Search continued at a high double-digit pace in the first quarter of fiscal '20. In the first quarter, RPO and Professional Search generated a record-high $95.8 million of fee revenue, which was up 24% year-over-year, and measured at constant currency, up over 27%. All geographic regions grew in the first quarter with North America up 28%, Europe up 33%, and Asia Pacific up 18%. As previously mentioned, in the first quarter, RPO and Professional Search was awarded another $97 million of global new business, consisting of $66 million of longer-term recruitment outsourcing contracts and $31 million of shorter Professional Search assignments. Earnings and profitability for RPO and Professional Search continued to grow with revenue in the first quarter. EBITDA grew to $16.1 million, up $3.6 million or nearly 29% year-over-year, and EBITDA margin improved year-over-year to 16.8%. Now I'll turn the call back over to Bob to discuss our outlook for the second quarter of fiscal '20.
Bob Rozek: Okay. Thanks, Gregg. Across all service lines, global new business growth in July and August combined, was up 7% at constant currency, led by RPO and Professional Search. For Executive Search, new business awards in July and August combined were down about 3% year-over-year. If historic monthly new business trends repeat, we expect Executive Search new business to grow sequentially in September and to hit a quarter-peak in the month of October. For Advisory, new business in the second quarter is typically seasonally strong led by our digital insights. Globally, Advisory new business in July and August combined was flat measured year-over-year at constant currency. For Professional Search, new business in July and August combined measured year-over-year at constant currency was up approximately 5%. For RPO, both business under contract and the pipeline of potential new business opportunities remain strong and we expect growth to continue in the second quarter. Now considering these factors and assuming worldwide economic conditions, financial markets and foreign exchange rates remain steady, we expect our consolidated fee revenue in the second quarter of fiscal '20 to range from $485 million to $505 million, and we expect our consolidated diluted earnings per share to range from $0.76 to $0.84. That concludes our prepared remarks, and we would be glad to answer any questions you may have.
Operator: [Operator Instructions] Our first question comes from the line of Kevin McVeigh with Credit Suisse. Please go ahead, your line is open.
Kevin McVeigh: Great, thanks so much. Hey, thank you all. Hey Bob, just looking at the Q2 guide, seasonally Q2 is typically one of the stronger quarters. Any sense of -- and I looked back, it looks like, typically you have anywhere from $30 million to $50 million uptick, the kind of lower end of the range would imply kind of flat, higher, and a little bit of an uptick. I guess, what's the gating factors on that? Number one. And then what's the tax rate or is there anything else that's kind of impacting the EPS in Q2, I guess just relative to where the revenue is?
Bob Rozek: Yeah. So, I would say that the gating factors when you look across what's happening in the different geographies, you have trade wars with China, you have Brexit, who knows where that's going to end up, a technical recession in Germany. So, those are some of the factors that are weighing a little bit on our Q2 guide. We were experiencing the softness in the geographies or countries where you would expect to see that. In terms of the EPS guidance, it's really not the tax rate. The tax rate is really no different than what we had talked about previously. I think it's going to be 25% to 27% in that range generally. But we continue to be very bullish on our business. We believe deeply in our strategy, and we're just continuing to execute on our balanced approach to capital allocation, which first priority is to invest back into the business. And so, as we expand our base of fee earners, as we expand the marquee account program introduced to regional accounts, those are areas where we're investing back in at this point. And Kevin, if you step back and look at our marquee accounts, Gary indicated they are about 21% of our revenue of those accounts in Q1 where it's a more mature program, grew 9% in constant currency. So that growth rate continues to outpace the rest of the company and that's where we're making our investments.
Kevin McVeigh: Got it. And is that just, I guess the only thing along those lines to -- the Advisory head count, it looked like it was down quarter-to-quarter, if I picked that up right. Anything there? It looked like it was -- went to 563 from 577, was that just -- anything -- was that just maybe certain regions that are a little bit weaker, or?
Bob Rozek: The Advisory headcount, actually I think went up quarter-to-quarter, Kevin. Do you have -- Gregg, do you have the number there?
Gregg Kvochak: Yeah. So, I'm not sure what you're referring to, Kevin. But in the slides that we posted on our website, we now counting consultants and execution staff in the quarter, and it was 1,758. And in the prior quarter -- so sequential quarter, it was 1,699. So it's actually up.
Bob Rozek: Yeah, it's up, Kevin. And Kevin, what we've done is we've really shifted away from just calling out the -- what we call the fee earners or the consultants in the advisory space. We’ve essentially taken a look at that business through more of Executive Search lines, and what really drives revenue is not just the individuals who sell the work, but you have to have the staff on hand to execute the work. So we've gone to a different defined number, if you will, in terms of what we're communicating now.
Kevin McVeigh: Got it. And I'm sorry, I was -- maybe I had the wrong -- I was looking at slide number 12, where it looked like it went from 577 to 563. The number of consultants and professional staff.
Bob Rozek: Yeah. We can -- Kevin, why don't we take that offline?
Kevin McVeigh: Sorry about that. Maybe I picked it up wrong. Okay, thank you guys.
Operator: And our next question comes from the line of George Tong with Goldman Sachs. Please go ahead.
George Tong: Hi, thanks, good afternoon. The Advisory business moderated a bit to low-single-digit growth on the constant currency basis. Can you discuss initiatives that you have to re-accelerate the growth towards your longer term growth target of 10% to 15%?
Gary Burnison: Well, I think you would sit there and you would look at several factors. Number one, when we have built that business which was $8 million not that long ago, today it is over $800 million. When you look at that business, particularly the last investment we made in the Hay Group, a substantial 80% of that business was outside the United States, which was great at that point. Where we are today is the first thing you've got to do is to increase the scale of the US business. So that's something we're working on very, very hard, and you will see that Bob commented on the new business that we saw in consulting in North America with double digit, very, very impressive. So that would be one. Number two is, for any professional services firm, you have to have house accounts, you have to have big, loyal clients of scale where you're delivering multiple services with hundreds of colleagues. So that would be two. The third is around our IP, and we've got to continue to digitize that IP and create that more scalable lift in revenue. So, those are really the primary three avenues excluding M&A that we’re going down.
George Tong: Very helpful. If we switch gears and look at the RPO business, that segment grew 27% constant currency, very strong. Can you dissect how much of this growth is being driven by an un-penetrated market versus new product and sales initiatives that you're internally executing upon?
Gary Burnison: I'll let Bob do the numbers. I'm going to say both. I'm going to say -- the interesting thing about that RPO and the Professional Search business is we made purposeful decision to go after on the Professional Search side IT, technical skills. And we think that market is at least $20 billion, maybe $30 billion. And we're pretty excited about what we can do there. That's just in firm recruiting, that's not in staffing, not that we get into staffing. But it's an interesting -- we've had very, very good results there. And I think back to the RPO business, the combination of our IP that we have, coupled with the technology has just been killer. So Bob, I don't know if you want to put any...
Bob Rozek: Yeah. So I think Gary's right. George, I think it's both. As he indicated, the Pro Search, the emphasis on IT, on professional sales individuals I think is paying -- those investments are paying off. And listen, on the RPO side, they continue to use -- you heard Gary talk about all the IP that we have at the sort of center of our company and they continue to differentiate their product offering by leveraging that IP into their RPO service offering. And then -- other folks can generate a lot of resumes, but we can generate resumes that line up with what good looks like in organizations. We can provide people with interview questions, we can provide them with job descriptions, role responsibilities. And so our service offering goes much beyond what others in the marketplace offer.
Gary Burnison: And the other thing that's interesting is that I don't like to use the word cross sell, but I would say the deeper multi-line offerings to the single clients, so I'll just say cross sell. In the this last quarter, so if you look at the cross sell into our consulting in terms of new business, it was about 20%. So in other words, 20% of the consulting new business revenue came from primarily -- not all, but primarily search. If you look at the RPO business, it was 37%. If you look at the Professional Search business, it was 52%. And then when you look at the other lines of business into search, it was only 6%. So clearly there is opportunity there. But I think that that one firm strategy is actually -- it's not just a story, it's reality. You'd look at those numbers and say, well, something is working, and you have more opportunity.
Bob Rozek: George, it's Bob again. Last point I would add, and the thing that I found very interesting is we were looking at the results for the quarter and then we started to understand August as it played out, we had RPO good new business wins in both July and August in China and in Germany. So again, you look at those marketplaces, and you expect there to be some headwinds there, but we actually saw the RPO with some strength, which kind of runs to the whole countercyclical period that we've been talking about.
George Tong: Got it. Very helpful, thank you.
Operator: And our next question comes from the line of Tobey Sommer with SunTrust. Please go ahead.
Tobey Sommer: Thank you. I was wondering if you could comment on your appetite for acquisitions, capital deployment in the quarter focused on share repurchase, and if I recall correctly, in the last call, Gary, you talked about acting and winter, I don't know, up 7% in constant currency equates to winter, but how are you feeling?
Gary Burnison: I think we're going to be very active in repurchasing our stock. Just plain out, I think the value -- I think the platform that we have today and you think about the amount of profit that comes from a product business that's more durable. When I look at comps and I see with their trading, it is substantially above our enterprise multiple of 7. So I look at that business, I look at the consulting business that is not as cyclical, I look at comps, that -- on multiples on that. Then I go to the RPO business and run multiples and we're going to be more aggressive in buying back stock. In terms of the acquisitions, yeah, we're very active. This last three or four months, we had the three or four that we were very, very close to and we decided not to go forward. So we're going to -- I do believe in that, and I don't know if it's fall. Clearly there is economic malaise that's going to continue. I'm not going to say it's fall. But we are going to have the orientation of investing into winter, yes.
Tobey Sommer: Okay, thank you. Could you talk about -- elaborate on I guess your strategies to drive the growth in the marquee account base above 30% of the mix? I know you've had some plans, some efforts in recent years, but I was hoping you could kind of update us on how those are going, and what future levers you I have to pull?
Gary Burnison: Yeah, I think it's -- it's a couple of things. You've got to make sure you're picking the right accounts, you've got to have the right kind of governance, you've got to have the right kind of process, and then you need to have the right kind of people. So we've invested heavily now over several quarters into account leaders where their sole responsibility is to have two, three or four accounts. And I think now we -- we don't have 100 of them, but it's close. And so we've made a purposeful effort there. So I think it's kind of will and skill. On the capability side, I think we have to do -- we've got the RPO offering down to scale. There is no doubt about that working, we can deliver it anywhere. The leadership development, the training area is a big, big market and we've got to do a better job there of creating platforms for individuals to grow and learn that can be sold to those marquee accounts. Now you may want to call that leadership development outsourcing, but that's actually big dollars and a scaled engagement. So one of the things that's interesting about this KF Advance business, which today is obviously very, very small, but the platform and the technology that we're using can actually be used to deliver broad based leadership development. So I think that's, yeah, it's very tactical but I think it gives you kind of a practical element of -- some of the things you have to believe in.
Tobey Sommer: Great. Last question for me. Can you talk about what you're hearing from clients. Because on an overall basis, some of the international revenue growth, and for reasons I think Bob cited, it has been slower than in the US, but then you kind of mentioned new business in a couple of sour spots as being fine in August. So what are those conversations like? What are you hearing?
Gary Burnison: I would say, in one word, confused. It's an absolute -- it's a crazy environment, there is economic malaise and confusion. And once we move to the market, somebody's comment moves the market 500 points is preposterous. So you can't undo the relationship with Britain and the EU that we've done over 50 years. You don't undo that. And you can -- look it hasn't been done in three years, it's not going to be done in three months. You can make the same argument around the trade issues, when those get solved. So I would say, it is confused. The consumer, they're ultimately in the United States, seems to be very, very strong. Productivity is okay, rates are going lower, that'll help people that have mortgages, they'll be able to spend more money. So there is no -- there is no -- I haven't seen real talk around downsizing or things like that. Over the last several months, have clients taken longer? Yes. They have definitely take longer to make decisions and sign things. And so confused would be the one word answer.
Tobey Sommer: Okay, thank you. If I could sneak one more in. How are you planning on handling your own internal revenue generating headcount growth in the different businesses?
Gary Burnison: Yeah, we're going after revenue producers enterprise-wide. And then on the leverage side of it, we're much more cautious.
Tobey Sommer: Thank you.
Operator: Your next question comes from the line of Mark Marcon with Baird. Please go ahead.
Mark Marcon: Good afternoon. A lot of my questions have been asked already, but I was just wondering when you talked about the July and August trends and obviously we saw how the quarter shook out, could you talk a little bit about just -- it seems like the pace of the news flow changed as July and August, and here in early September, progressed. Did you see any sort of linear relationship in terms of that -- that flow of news and tweets, and confusion, and how the business -- in a more granular fashion, just July and August lumped together?
Gary Burnison: No. Look, July in terms of new business, the year-over-year comparable was obviously better. The August year-over-year comparable was slightly lower. I just not -- I cannot read anything into one month. I tend to look at things in two or three months and try to gather what that really means. So, no -- the conversations, the tone, nothing like that changed between July and August materially that would point you to kind of a different conclusion or direction.
Bob Rozek: Mark, this is Bob. I would agree with Gary. I think we look at July and August, one month was up, one month was down. It's just they're data points. And we haven't -- as a result of those changes, we haven't decided to do anything differently internally.
Mark Marcon: Great. And then with regards to some of the business initiatives that things that you can control, how would you describe just the brand integration and everybody working together now, Gary, under the Korn Ferry brand? Is it all completely unified as -- in terms of the Advisory business and changing brands at the local basis and just the positioning of the firm?
Gary Burnison: Yeah, I think, we have gone way past half way on that. I think that in terms of that one firm strategy that we rolled out, it was about 15 months ago, 18 months ago. I think, you look at the data and it would suggest while something seems to be working, your marquee account growth is better than the portfolio, the cross sells from Search into consulting, RPO, Professional Search, that is working. I think that the image of the company over the last several months has changed too, because a lot of people recognize the brand for what we did 50 years ago, and they don't recognize the brand for what we do today coaching 1,000 people. And so I actually, I believe that the branding initiative that we did with the PGA around the Korn Ferry tour, the whole purpose of that is -- the tour that we're now sponsoring is all about development. It's all about how do you exceed your potential. Well you exceed your potential by a given opportunity. And that's fundamentally what Korn Ferry is about. And our capabilities today are well, well, well ahead of sometimes where the brand imagery is. So I think that we have to continue to, on the marketing side, make sure that the persona in the marketing image of the firm truly reflects where we are today. And I think it's still actually quite behind.
Mark Marcon: It seems like you've made a lot of progress on multiple assets including handing out Tour Card. So that had to be fun. Can you talk a little bit about KF Advance just in terms of how you're going to monetize that?
Gary Burnison: Well, we've got -- so the thesis was, you start out in college and you're going to be a career nomad. You're going to work for a lot of different companies and nobody is really taking care of you. Versus your eye, where we took our first job and we kind of felt like the company was going to take care of it. So thought is people need to be able to exercise and grow. So they need to be assessed, they need coaching, they need development, they need advice, career advice, and maybe they need job placement. And so we think that we've -- we think we can actually make inroads into kind of a B2C community. Having said that, when we're going after that there is two -- there is really two or so go-to-market routes. One is B2B2C. So we're going to businesses to associations that have thousands of members and offering our career services. So that's one go-to-market. The second is direct to consumer. Right now that business is only -- look it's less than $10 million annually in revenue, but I think the thing that's interesting and I think it was Tobey, although I'm not 100% sure, I think we can actually use that platform for our leadership development offering because that's one like where the RPO market, there's scale, I mean it's a big market. While leadership training, the training and development is also a big market where you could have really big scaled engagement. So we're looking at that platform as a way and it -- look, this isn't going to happen next quarter by any stretch. But over a series of quarters, I think you could have to do leadership development outsourcing. That'll be -- now we're -- again we're a long ways away from that, but that would be the vision.
Mark Marcon: Good vision. And then with regards to just the Advisory business and what you ended up seeing in some of the markets where -- obviously the headlines are a little bit more challenging. What's the scale of what you're seeing just in terms of the decline in terms of the business, whether it's Germany or China just on the Advisory business?
Bob Rozek: Mark, it's Bob. On the Advisory business -- yeah, I'll just focus the big countries like in the UK, we're actually seeing Q1 this year to Q1 last year. It's kind of low, low single-digit growth. UK overall is up, but again a lot of that's driven by the RPO that we've talked about. Germany, looking at in Q1 Advisory was down a couple of percentage points. France was a large area for us in terms of being negative, year-over-year was down like 21%. Looking at China, China was down year-over-year low single digits. So it's not like we're seeing significant erosion in any of those markets, but we are feeling the -- we're feeling the headwinds.
Mark Marcon: Okay. And then on Executive Search with regards to just the practices. You mentioned financial services and industrial were up. What were the -- what's the opposite side of the scale there in terms of the -- obviously everybody is curious about some of the macro headwinds and the impacts.
Gary Burnison: Well, we've seen for some time the impact on supply chains in China and the carry-on effect to industrial in North America. So that's been going on now for six or seven months. So when you look at the industry and financial services was good. When you look in that, obviously, investment banking as you would guess, was down significantly, but that was more than offset by commercial banking and private equity and real estate. Technology was very good. This last quarter, life sciences and healthcare enterprise-wide was down a few percentage points. But I don't -- I'm not -- that it's probably not going to be sustainable. I don't think underlying that. Consumer has been flat, or so. It's really been a mixed bag when look at it.
Mark Marcon: And then with regards to -- just two more questions if I may. One, on the IT Professional Search, how big is that for you now and how quickly can you expand that?
Gary Burnison: It's less -- that's a very, very good question. It's certainly less than -- way less than $100 million. And we think that market -- it's always in our sizing these things, but we think that could be $20 billion market. And so can that be seized in a quarter? No. But could that be seized over four to six quarters? You could make some real headwind there, because there is not a lot of -- we've got the technology, we've got the process. It's pretty easy to get your mind around that.
Mark Marcon: Yeah. And then with regards to just the RPO business continuing to ramp. It sounds like from everything -- every data point that we have, the market is not growing as quickly. I mean, you're clearly gaining share. Is that -- you said it's a fair assessment?
Gary Burnison: I think that's right.
Bob Rozek: Not only are we gaining share, Mark, but when we look at -- when we come up for renewals, it's -- to quote the leader of that business, it's -- you can count on one hand the number of times when we've lost a renewal. So I think we do a good job, once we get in of being very, very sticky.
Mark Marcon: Excellent. And then lastly, buyback. It sounds like you're clearly going to do that. What's the authorization now and when is the next board meeting?
Gary Burnison: We've got a couple of hundred left. Last authorization was $250 million [ph]. I think we spent almost $40 million in the first quarter, then to date. So we got a couple of hundred million left.
Mark Marcon: Gary, would the intent be to actually shrink the share count in a material way?
Gary Burnison: Yes.
Mark Marcon: Because in the past it's been kind of offset by option grants and things of that nature?
Gary Burnison: I think where this company is today and what we've got, yes, we will absolutely. Now again, we're also looking at acquisition. So we've got to have a balanced mindset here, but today, September 5th, this is September 5th, we're going to have more of an orientation towards share repurchases and continue to look at acquisitions.
Mark Marcon: Makes sense. Great, thank you.
Operator: Our next question comes from the line of Marc Riddick with Sidoti. Please go ahead.
Marc Riddick: Hi, good afternoon. I wanted to sort of continue on that being a little bit. Just wondering in the context of some of the things that you've looked at, can you sort of give some parameters or thoughts around the scale that you're comfortable with as far as potential acquisitions and maybe what you're seeing out there? Certainly it's been a few years since Hay Group and I just wanted to get a sense of comfort level as to size and scope of potential acquisition targets?
Gary Burnison: I think it's always dangerous to kind of talk about that. I would say that we've looked at things that would have grown our top line by 50%. And we've also looked at things that would grow our top line by 5%. So we've had a pretty wide screen in terms of size. And as you said, it has 3.5 years. But you don't want to do something just to do it, it needs to fit culturally, and it needs to make sense in the context of our overall strategy.
Marc Riddick: Okay, great. That makes sense. And then, I just want to then follow, because a lot of my other questions were answered. So I just wanted to touch a little bit on the marquee accounts and then the expansion into the region. Also sort of, wanted to get a sense of maybe the receptivity of those, I guess it was 200 regional accounts and if there was any particular mix that we should be thinking about the regionals, if they were heavily weighted in any particular way. How we should be thinking about that and the initial thoughts on how that part of its going? Thank you.
Gary Burnison: I would say, we're not even out of the first inning on the regional accounts. So, the marquee account, it really took us a college degree. I mean, it took us four years I think to kind of really get that right, and not that we have it right, we can continue to improve on it, but I think you really got to look at this as a two, thee, four-year endeavor on the regional accounts. The way that we did those, we put a top-down screen on it, and then we did it obviously bottom-up by region and the geographic dispersion kind of is reflective of Korn Ferry today. So you're going to find 40% in the United States and 30% or so in Europe. And then we did overweight Asia. We purposefully overweighted Asia just because of the size of some of those companies that are in China and the like, but it's early days for sure. But I think that if you look at any world-class professional services firm, an anchor of that strategy would be having a proactive, go-to-market approach around real scaled loyal repeatable clients where you can deliver impact where you can have hundreds of people working on the accounts and have real impact on those clients.
Marc Riddick: Okay, great. And then the last one for me. I was wondering, you did mention on this, but I want to touch on that a little bit as far as the -- when you look at the marketing -- the go-to-marketing approach and the global branding efforts and how far along you are with that including the tour. And I was wondering, are there any particular pieces that you would like to see still in the remainder of that global branding effort or are there any sense of things you feel so that you're missing that you don't currently have? Thanks.
Gary Burnison: You know the way that you market, there is a couple of things. One is our digital insights business that has a different cadence and a different marketing strategy. You have to be way more digital, you have to do a lot of SEO, and so we've got a whole path that we're going down there. I think secondly, we have capabilities today that completely outstrip what most people think of us for. So when you think about having the kind of data that we have 12,000 organizational benchmark data, $69 million assessments, rewards data 20 million and counting you kind of look at those numbers and what we're doing and the market in general doesn't know that. So I think we have to continue top-down to message that purposefully. And the Korn Ferry Tour is clearly a big piece of that. The B2C business or the B2B2C business, the KF events also requires a different market strategy, in that it's going to look a little bit more like our digital insights or our former products business. But fourth ultimately is good work begets good work. And so the quality of what we deliver has to be top rate and it has to be top rate from CEO succession work that we do to the digital insights business to the RPO business, and there is no, nothing, nothing that's better than doing high quality work.
Marc Riddick: Okay, great, thank you very much.
Operator: We have a follow-up from the line of Kevin McVeigh with Credit Suisse. Please go ahead.
Kevin McVeigh: Great, thanks. Hey Gary. Just any thoughts -- would you expect the US to kind of re-accelerate and kind of help kind of the Germanys and Frances of the world, China. Are you starting to see any type of shift to capacity out of China into other areas where there could be some incremental demand given obviously it feels like a lot of companies are starting to plan away from China. Are you starting to see any early signs of that? And then just, again with the US kind of moving along, any re-acceleration that helps kind of stabilize that business, or how are you thinking about it from a planning perspective?
Gary Burnison: I think the current president has 10 or 11 months. And it's going to be that stance versus China. And I don't know who is going to win. Self-interest or national interest, that's very hard to call. So I'm really thinking there is going to be some malaise for a while. And the supply chain decoupling that people have been going after now for six to nine months, it's a lot -- it's easier said than done, for sure. And it's just like trying to unwind a union that's been in place for 40 or 50 years. You can talk all you want, but then actually trying to do, it becomes very, very difficult. So I think the good news is that as we've said, central banks will become more accommodative -- probably hopefully be good for the US consumer that drives this economy. So it's not necessarily seeing a cliff nor are we seeing a sudden 30-mile an hour tailwind. I just don't think that's realistic in a sociopolitical environment we're in right now.
Kevin McVeigh: That's helpful. And then again, not so much on the size of deals, but would you expect and given the success in the RPO, would they be along those lines or maybe something that would diversify the business a little bit more similar to what Hay? Or just any thoughts around how you're thinking from a strategic perspective as it relates to the core business?
Gary Burnison: Well, I think that there is certainly is a question around whether you want to add more capabilities. I would kind of call it more general management consulting capabilities that that could be a question. But it's probably not a question that's executable in the shorter term. But I think longer term, that is a strategic question for the company. I think in the shorter term, there is -- the leadership development is -- training and development is a big share of the market spend. And so I think that if you could do something there to bolster what you have today, that would probably be a very good thing. I don't think in assessment in succession. We really need much. I think we've got tremendous IP and it's just us figuring out a way to gamify, how to make it more interesting. So I think in terms of our current capabilities, organizational strategy, which tends to then get into general consulting could be interesting and leadership development is interesting.
Kevin McVeigh: Thank you.
Operator: And we have a follow-up from the line of Tobey Sommer with SunTrust. Please go ahead.
Tobey Sommer: Thanks. Gary, I understand that you commented about having a few opportunities that you're pursuing that you didn't transact -- and the transactions can change or not be consummated for various reasons. Any kind of unifying factors there in terms of multiples or anything like that that kept those from going across the finish line? And have they transacted away from the company? Are they still out in the market?
Gary Burnison: One is, it was never for sale. So it's still in the market. Another one transacted away from the company. And I would say that, it's -- a unifying factor is always -- it's always culture. We very much look culture, but in this case, it was price. And price, particularly given where our valuation is today.
Tobey Sommer: Thank you very much for the color.
Operator: It appears there are no further questions, Mr. Burnison.
Gary Burnison: Okay. Well, look, like I said, it's going to be 50 years on November 14. And the company that Lester Korn and Richard Ferry started in Los Angeles, California, are in many respects, the same firm, but actually quite different. So we're excited about what we can do. We're confident in our strategy and we thank you for your support. And we'll talk to you next time. See you, bye bye.
Operator: Ladies and gentlemen, this conference call will be available for replay for one week starting today at 6:30 PM Eastern Time, running to the day, September 12, ending at midnight. You may access the AT&T Executive Playback Service by dialing 1800-475-6701 and entering the access code 470062. International participants may dial 1-320-365-3844. Additionally, the replay will be available for playback at the company's website www.kornferry.com in the Investor Relations section. That does conclude our conference for today. Thank you for your participation, and for using AT&T Executive Teleconference Service. You may now disconnect.